Operator: Good evening, everyone, and thank you for joining us for the AvidXchange Holdings, Inc. Third Quarter 2022 Earnings Call. Joining us on the call today is Mike Praeger, AvidXchange Co-Founder and Chief Executive Officer; Joel Wilhite, AvidXchange Chief Financial Officer; and Subhaash Kumar, AvidXchange Head of Investor Relations. Before we begin today's call, management has asked me to relay the forward-looking statements disclaimer that is included at the end of today's press release. This disclaimer emphasizes the major uncertainties and risks inherent in the forward-looking statements the company will make this afternoon. Please keep these uncertainties and risks in mind as the company discusses future strategic initiatives, potential market opportunities, operational outlook, and financial guidance during today's call. Also, please note that the company undertakes no duty to update or revise forward-looking statements. Today's call will include a discussion of non-GAAP financial measures as that term is defined in Regulation G, non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in compliance with GAAP. Accordingly, at the end of today's press release, the company has provided a reconciliation of these non-GAAP financial measures to financial results prepared in accordance with GAAP. With that, I would now turn the call over to Mike Praeger.
Mike Praeger: Thank you, everyone, for joining us today. Joe Wilhite and I are excited to discuss AvidXchange's third quarter 2022 results and the continued momentum we are experiencing across our business, driven by our middle market focus in the four growth years of our AvidXchange business flywheel that drives our business. As we anniversary our initial publicly offering, it is noteworthy that today’s volatile economic backdrop is somewhat analogous to the one that existed during our founding back in 2000. Since then and since our IPO, we have not only demonstrated our durability, but also have thrived laying the foundation for our relentless focus on driving customer innovation, value creation for both customers and shareholders, and strong financial and operating performance. Today, I want to talk about three themes that are behind our strong performance for the third quarter and should set us up to continue delivering strong results in the future. These three themes are as follows: Number one, our industry leading electronic payment penetration remains a key lever in both differentiating AvidXchange and driving financial results. Two, our hybrid go to market sales strategy with a differentiated vertical market approach and integration strategy is driving customer adoption and sales momentum. And three, our focus on customer innovation is increasing our value creation along with extending our vertical market penetration and reach. Let's start by discussing the impact of theme number one, how our industry leading electronic payment penetration remains a key lever in differentiating AvidXchange and driving financial results and evidenced by our consistent operating and financial results we have delivered since our IPO. To appreciate the calculus behind our electronic payment penetration, it is worth recounting our driving force. We have taken a holistic approach to our customer base since launching the AvidPay Network in 2012. Our value proposition extends not just the buyer customers to our AP automation, but equally important to supply our customers through our offering supporting various payment modalities, cash flow manager, invoice accelerator, and Avid Analytics.  Through these bespoke offerings, we have driven industry leading electronic payment penetration, strong payment volume, higher yield metrics, and robust payments revenue growth. The third quarter of 2022 was no exception. We delivered revenues of over 82 million, which was up 26% over the same period last year. This now marks five consecutive quarters of exceeding our internal financial targets and delivering over 20% comparable organic revenue growth. Led by our robust payments revenue growth of 34%, we drove revenue performance in our non-GAAP gross margins, which approached 65%. Along with expense control, the baseline levels of which we are proactively calibrating, the result was an almost – that we almost have our adjusted EBITDA losses to roughly 3.7 million in the quarter. A further upshot to our third quarter results, we are raising our full-year 2022 revenue outlook, while lowering our adjusted EBITDA losses further. This brings us to our second theme driving our results, which is our hybrid go to market sales strategy with a differentiated vertical market approach and integration strategy driving customer adoption and sales momentum. The sustained progress on our demand generation is driven by our vertically differentiated and purpose built solutions creating our middle market value proposition. The value proposition includes dynamic automation and decisioning of manual and paper intensive workflows with sophisticated business rules supporting a middle market company's accounts payable and payments lifecycle. Through our 220 plus vertically and horizontally aligned integrations with different accounting systems intertwined with our referral reseller and white label reseller partnerships, these middle market customers are able to digitally transform their back office. Thereby reducing the current and future costs and getting a rapid return on their investment. As these buyer customers adopt their solutions, our AvidXchange, flywheel, and value proposition gains further momentum, creating a powerful two sided network as buyers bring their buyers, thereby maximizing network density, scalability, transaction liquidity and electronic payment conversion and the discovery to drive operational efficiencies for both buyers and suppliers. As the current economic backdrop remains volatile, where efforts to reduce costs and bolster productivity remain an imperative to offset inflationary headwinds and its knock on economic growth, in my opinion, the benefits of our value proposition should continue to comment a sharper view and drive further market adoption. One powerful example supporting our vertical market integration strategy and our value proposition is with buyer customer Vets Pets. A veterinary hospital network as part of our healthcare facilities vertical according to Blair Myers, Vice President of Finance and Accounting at Vets Pets. Prior to AvidXchange, Vets Pets back office processes were inefficient, costly, manual, and a bottleneck to growth, including manual cutting paper checks to pay each invoice. After visiting an accounting systems conference in evaluating several AP automation companies, Blair chose AvidXchange for its full circle platform, which provides both AP and payments automation capabilities, which is highly integrated with their sage intact accounting system thereby turning a bottleneck into a profit center. Best of all, Blair recounted honestly, this was probably one of the easiest new product implementations that I've been part of in my entire career. Another good example is with Saban Community Clinic, a non-profit health clinic with multiple occasions throughout Los Angeles, which is another success story within our growing not for profit vertical, highlighting the power of AvidXchange's AP and payments automation solution tightly integrated with their MIP Fund Accounting System. Contending with staff turnover in its accounts payable department, Saban Community Clinic found it difficult to maintain business continuity and struggled with processing their invoices and payments on time. With our combined AvidXchange invoice to pay solution, fully-integrated into the clinics accounts payable process, Saban community is now able to process payments on-time without worrying about negatively impacting the clinic's operations or their ability to serve their community. As staff accounted, [indiscernible], With AvidXchange, I am now able to electronically approve invoices and payments in seconds. Given these very compelling customer testimonials articulating the business problems that we are solving for our customers, I will now provide an update on our value proposition in driving market adoption of AvidXchange's industry leading offerings, which are purpose built for the middle market. In addition, I want to focus my directional commentary on demand trends year-over-year as it relates to our top of funnel sales activity. This commentary provides a line of sight into potential opportunities tied to new buyer customer logo wins and additional product attachments to existing buyer customers that are expected to convert, fully ramp, and impact 2023 results. Furthermore, our pipeline analytics, which overlays the sales funnel, tracks deal sizes, close rates in addition to onboarding and new customer go lives along with our 90-day certification rates for new invoice volume. To date, we are encouraged by the demand activity we are seeing both the buyer and the supplier side of the equation in the face of the current macro backdrop. Our real estate, Homeowner Association, and non-profit verticals along with our horizontal focus, all of which represent a greater weighting in our business mix, continue to exhibit strength quarter-over-quarter and sequentially. Within the real estate vertical, we're also seeing strong channel demand partner support for driving new opportunities as evidenced by AvidXchange be named Partner of the Year by MRI Software [indiscernible] user conference last weekend in New Orleans along with a record year of rent manager, another channel partner driving adoption in the multifamily sector of real estate. This is all more impressive considering this year's top of funnel activity was probably influenced by some COVID-related catch up. Our construction and financial services verticals meanwhile have seen some unevenness, which we are also closely monitoring. Overall, nets of puts and takes, we are pleased with the strength of our top of funnel sales momentum and remain cautiously optimistic as we position for a strong 2023. Finally, I want to share insights into our third theme of demonstrating our relentless focus on customer innovation to increase our value creation for both buyer and supplier customers along with extending our vertical market penetration and reach. The investments we are making in our product roadmap are compounding our strong operating and financial results through three of the four years of our AvidXchange flywheel.  During the quarter, we advanced our integration strategy with the launch of a new Application Programming Interface Integrations or APIs as we call them for Blackbaud impacting gears 1 and Gear 2 of our flywheel. Blackbaud is a vertical accounting solution provider, which we establish a strategic partnership focused on expanding not-for-profit education and healthcare verticals market footprint. In the third quarter of 2022, we introduced new API integrations with Blackbaud Financial Edge NXT, a cloud-based fund accounting solution built on our next generation [AvidConnect Integrations Platform] [ph]. These seamless out of the box integrations enable automatic syncing of general ledger codes vendor list along with the invoice and payment data between AvidSuite, which includes AvidInvoice and AvidPay and Blackbaud's Financial Edge NXT system. With roughly 6,000 Blackbaud customers currently on financial edge accounting system, we believe this integration when the first on AvidConnect should deepen our technical, sales, marketing, and organizational partnership with Blackbaud, thus enabling us to accelerate our penetration across Blackbaud's customer base. Furthermore, as more of our accounting system partners migrate their on-premise solutions to the cloud, our API is built on AvidConnect should enable faster customer acquisition, implementation and payment adoption along with a better overall seamless buyer customer periods. Under Gear number 3, which is the monetization of payment transactions, we recently launched our AvidXchange cross border payment offerings at NetSuite's annual SuiteWorld user conference in Las Vegas, consistent with our delivery commitment at the start of the year. This capability will be embedded within NetSuite's ERP with the intention of international money transmission and settlement component being powered by [WISE] [ph], our international payments processing partner. The adoption of cross-border payments is an important product not only in terms of broadening our payment modalities, but also in advancing our international pillar of growth strategy, but also deepening our relationships by leveraging this capability across all of our horizontal software channel partners. As we have stated in the past, cross-border payments currently comprise a very small component of our existing money flows, but the absence of it did however limit our historical participation in a subset of bundled opportunities that included both domestic and international payments. With our advanced three-way purchase order matching functionality introduced in the first quarter of 2022, combined with our new cross-border payment offering, we believe we are well-positioned to pick up both new buyer customer opportunities, as well as extend our vertical market focus into new verticals such as manufacturing and others. In summary, we're very pleased with our results in the third quarter. Along with navigating our first year as a public company, which we have been driven by the three themes we discussed, combined with our consistently strong execution, our strong balance sheet and our positive business outlook for 2022, we have much to be proud of. I want to thank all of our AvidXchange team members for their hard work and dedication in driving this strong financial outperformance amid a very hot and volatile economic backdrop. As we celebrate our accomplishments during our first year as a public company, we're excited about the opportunities ahead and recognize the discipline needed to execute on them.  To be sure we have been tested many times since our founding. As the middle market industry leader, we expect to be tested as we build highly durable growth business. Rest assured, we are focused on excelling and innovating to drive overall middle market adoption.  With the investments we've been making across the four gears of our AvidXchange business flywheel, we believe we are well-positioned to advance our value proposition, enhance our industry leading integrations, continue growing our proprietary two-sided AvidPay Network and expand our significant competitive mode in being the leader for middle market companies in automating their accounts payable and payment processes, while maximizing shareholder value creation. With that, I'd like to turn the call over to my partner, Joel Wilhite. Joel?
Q - Joel Wilhite: Thanks Mike and good morning everyone. I'm excited to talk to you today about our third quarter 2022 financial results, which reflect continued execution of our growth strategies leading now to three consecutive quarters of positively revised 2022 guidance. Overall, we delivered another quarter of solid financial performance. Our third quarter 2022 revenues came in better than our forecast, driven by higher total transactions, payment volumes, and contribution of interest revenue from funds held for customers given the Fed induced change in interest rate levels. That together with better operational efficiencies and expense control contributed to a lower than expected adjusted EBITDA loss in the third quarter of 2022. Total revenue increased by 26.4% to $82.4 million in Q3 of 2022 over the third quarter of 2021. Organic revenue growth, which excludes the contribution of our Pay Clearly acquisition, which closed in January 2022, was 25.6%. Organic growth was primarily driven by the addition of new buyer invoice and payment transactions, which increased e-payments to suppliers. As a reminder to those who are new to the AvidXchange story, both FastPay and PayClearly are media advertising books of business that include a portion of revenue that skews to the mid-term and presidential election cycles in the U.S. For the nine months ended September 30, 2022, the revenue contribution from just the political segment of the media vertical was $5.4 million. While we are not guiding to 2023 numbers, it's worth noting that 2023 has neither the U.S. mid-term nor presidential elections benefits. Back to Q3 2022 financial results. Our strong revenue growth also resulted in total transaction yield expanding to $4.57 in the quarter, up 12.8% from $4.05 in Q3 2021. The increase was driven principally by improvements in mix, and payments yield. Software revenues of 25 million, which accounted for 30.4% of our total revenue in the quarter increased 12.1% in Q3 of 2022 over Q3 of 2021. The increase in software revenues was driven primarily by growth in total transactions of 11.9% in Q3 of 2022. Payment revenue of $56.6 million, which accounted for 65.7% of our total revenue in the quarter increased 34.3% in Q3 of 2022 over Q3 of 2021. Excluding PayClearly, which contributed approximately $0.5 million in the quarter, organic payment revenue growth was 33.1%. The increase in payment revenues was driven by the growth in total payment volume of 29.4% and 28.7%, excluding PayClearly. On a GAAP basis, gross profit of $47.6 million increased by 38.7% in Q3 of 2022 over the same period last year, resulting in a 510 basis point improvement in gross margin for the quarter to 57.8%. Non-GAAP gross margin increased 440 basis points to 65% in Q3 of 2022 over the same period last year driven primarily by a combination of total transaction yield and operational efficiencies. Moving on to our operating expenses. On a GAAP basis, total operating expenses were $74.6 million, an increase of $34.5% in Q3 of 2022 over Q3 of last year, driven by headcount additions to support our growth initiatives, increased expenses and transition to a public company, and a recognition of non-cash stock-based compensation costs. On a non-GAAP basis, operating expenses, excluding depreciation and amortization increased 25.9% or $11.8 million to $57.2 million in the third quarter of 2022 from the comparable prior year period, highlighting the operating expense leverage on a comparable basis. I'll now talk about each component of the change in operating expenses on a non-GAAP basis. Non-GAAP sales and marketing costs increased by $3.1 million to $19 million in Q3 of 2022 over Q3 of last year with the increase driven by the continued investment in our direct and channel strategies to acquire new buyers and supplier customers. Non-GAAP research and development costs increased by $3.8 million to $19.3 million in Q3 of 2022 over Q3 of last year. The increase was due to continued investments in our products and platform. Non-GAAP general and administrative costs increased by $4.9 million to $18.9 million in Q3 of 2022, over Q3 of last year, driven by a combination of an increase in performance based bonus accruals due to continued strong operating and financial results coupled with expenses and transition to a public company status. Our GAAP net loss was $25.4 million in the quarter versus a GAAP net loss of $35.5 million in the prior year period, which included the impact of a mark-to-market adjustment for convertible common stock liability prior to conversion upon our IPO. On a non-GAAP basis, our net loss in the third quarter of 2022 was $11.6 million, an improvement of $3.7 million, compared to the year ago quarter on solid organic revenue growth combined with ongoing operational efficiencies and expense leverage. On a non-GAAP basis, adjusted EBITDA was a loss of $3.7 million in Q3 of 2022, compared to a loss of $6 million in Q3 of 2021 due to the aforementioned factors. Turning to our balance sheet for a moment, I want to touch on a few key items. We ended the quarter with a cash position of $508.4 million. The cash is split between cash and equivalents of $411.1 million, which is in a combination of demand deposit accounts and money market funds. The remaining $97.3 million is in a basket of financial instruments, including treasury bills and commercial paper with a weighted average maturity of roughly 71 days. The weighted average annualized effective interest rate on our corporate cash position for the third quarter was roughly 1.6%. Our outstanding debt balance at quarter-end was approximately $128 million out of our credit facility at quarter-end, which was $133.5 million. I'll now move on to our updated full-year 2022 guidance. In-light of our strong third quarter outperformance and Mike's cautiously optimistic commentary, about the opportunities and initiatives we continue to see and execute across our business. We now expect total revenue for the year to be above what we previously provided and in the range of $314 million to $315 million. We are also adjusting our non-GAAP adjusted EBITDA expectations lower to a loss between $18 million and $19 million. With that, I would now like to turn the call back over to the operator to open up the line for Q&A. Operator?
Operator: [Operator Instructions] Our first question will come from Dave Koning with Baird. You may now go ahead.
Dave Koning: Yes. Hey, guys. Congrats on another really good quarter.
Mike Praeger: Thanks, Dave.
Dave Koning: Yes. And maybe for my first question, payments volume yield or I guess revenue yield on volume has continuously gone up I think three quarters in a row, sequentially, and maybe you can talk through, kind of the different moving parts. I would imagine interest revenue probably helped that a little bit, but even maybe payment type or verticals, kind of talk through, kind of what's driven that continued improvement and then how maybe we should see that going forward?
Joel Wilhite : Yes, great question, David. This is Joel. You're asking about, kind of our yield on total payment volume, right? So, payment revenue over that TPV. We had good growth in the quarter. We were pleased with 29% overall. We've kind of exceeded our expectations from a volume and total transaction count growth. TPV yield itself, again, it remains, kind of industry leading and healthy couple of dynamics. We've said in the past a basis point up or down, would it be something necessarily to focus on. We do believe that over the long run, this yield is connected to Gear 3 for us and is one of the biggest opportunities that drives growth for us in the future. We don't break-out the components in the puts and takes. Couple of things though, certainly our interest revenue which grew Q2 to Q3 as mentioned in the prepared remarks, that is included in payment revenue. There is an incremental lift associated with that. Same to a lesser extent given the inclusion of the political component of the revenue, but all-in-all, we're really pleased with the progression of that yield and expect that, again that's really where there's long-term opportunity for us as checks come out of the system and we move more and more payments to digital.
Dave Koning: Yes, great, great. Thank you. And then I guess my second question gets, kind of back to the interest revenue. And I think just based on the 800 million or so of that float portfolio and rates being up a lot, we have that line up 2 million, 3 million sequentially and it's probably our margin. So, to us, it looks like your guidance if we just put that through and no core improvement, you're going to hit your guidance even without any core growth and I fully imagine you have core growth too. So, maybe kind of let me know maybe if I'm a little too aggressive maybe on that interest revenue?
Joel Wilhite: Yes, a couple of questions. So, what I would say and we called out certainly we benefit from the funds held from customers in a rising rate environment. And you're right in the, kind of plus or minus $1 billion of cash held from customers, in early quarters this year, we were sub-40 basis points, 50 basis points and on average now, what we saw in the third quarter was 100 bps and ramping a little bit as you exit the quarter. So that certainly contributed and we'd expect that to continue to, sort of pace Fed funds minus 100 basis points, 120 basis points on somewhat of a lag. So, we do see that included, but even removing that impact we saw good growth, good yield expansion. And then the final part, I guess of your question, David, is how we think about that relative to the guide. Like Mike said, we're cautiously optimistic. We've not seen meaningful, kind of macro impacts, but just being cautious as we sort of predict the outcome for the quarter in our guidance.
Dave Koning: Got you. Great. Well, thanks. Great job.
Joel Wilhite: Thanks, Dave.
Operator: Our next question will come from William Nance with Goldman Sachs. You may now go ahead.
William Nance: Hey, guys. Good morning. Appreciate you taking the questions. I wanted to ask on the gross margin improvement. You guys have this plan to improve gross margin by 10 points, I think, by 2024, and so it seems like you guys are basically halfway there. And seems to be running a little bit ahead of plan. So, I just wanted to, kind of pick that apart a little bit and understand how much of the gross margin improvement is coming from some of the elevated ad spending and higher float revenues this year versus if you kind of strip that back, do you guys feel like you're kind of running ahead of schedule on that plan as you look out over the next year and a half or so?
Joel Wilhite: Got you. Good question, Will. Yes, we were happy with 65% margin in the quarter, meaningful step-up sequentially and we've talked about that being a part of our path to profitability. We've said before that, kind of in the full-year calendar 2024, we're committing that this business will become a profitable business. We believe that happens in the 70% gross margin zip code along with good scale in G&A and then R&A.  So, we did, just speaking about that 65% in the quarter, the pre-ponderance of that benefit or that sequential increase is really continued operating efficiency that we're seeing and we're seeing that top to bottom, but it certainly shows up in gross margins, also payment yields. It is true that that incremental, that sequential growth in the interest revenue contributed to that gross margin to some degree.  We're not breaking out the components. Also presence of political was a benefit. Removing both of those, we were pleased with the underlying expansion of gross margin from Q2 to Q3. The last thing I might just add to that question, Will, is as you think about – we're not – certainly not guiding 2023 now and we don't guide to gross margin, but I would, kind of balance the expectations of margins going forward for two things.  One is, you already mentioned and I answered the political component. There's a bit of a benefit there just given the nature of that spend and margin. And so, we've mentioned before that political is largely absent in the 2023 year. And the second thing I would say is, I think we mentioned last quarter that we've more fully now moved our business into the Azure Cloud.  And so that transition is behind us, but we are making investments and making certain spend as we exit 2022 associated with the security and the platform to robustness of that. And so, I would sort of mute expectations for that over the next couple of quarters.
William Nance: Understood. That all makes sense. And then, Mike, I thought the question or the commentary on top of funnel demand was interesting. One of the things I think you highlighted in the testimonials was turnover among AP staff. I mean, I guess is that a trend that you're seeing and as we think about the great resignation playing out and back offices across the country, is that a trend that you're seeing drive more demand for the product?
Mike Praeger: Yes. I think – that's a good question. I think the overall trend that we're seeing is the question when people are forced to hire additional AP staff, do they want to invest in the labor component or now is the right time to invest in automation? Whether that needs in staff is driven by the growth of their business or by kind of the resignation, kind of element, I think it is a good question. We recently actually released our Q2 middle market spend index. And one of the things that we highlighted there as part of our survey is that in the last year, four out of five of our customers across middle market have grown their business. And so, whenever you have a growing business, you also have a need for additional accounts payable staff. And I think in the current economic backdrop, what we're seen currently is consistent with in the past, when you have choppier waters is, it really kind of forces our buyer customers to look at is now the right time to automate this process rather than continue invest in human labor. So, I think that overall theme is certainly playing out and whether the increase in hiring is that we're seeing is due to kind of growth of their business or part of the turnover of their staff I think is a good question.
William Nance: Got it. Appreciate you taking all the questions.
Operator: Our next question will come from Darrin Peller with Wolfe Research. You may now go ahead.
Darrin Peller: Hey, guys. Thanks. I want to follow-up on the top of funnel again for a minute and just talk about what you think is truly resonating. I know a lot of it was post-COVID being back out at [conferences] [ph], but still kind of white space. And so when you think about what sort of sustainable on the front of, you know new customer adds? And then just a quick follow-up on volume trends. You talked about we saw the results and they continue to be very strong. I think you mentioned some differences in terms of verticals and some puts and takes. So, can you just go into that again? Is it something you're seeing from a macro standpoint that's driving some changes in certain verticals versus others, but look overall in context of the strength we're seeing, I guess, is that new business? Is that some verticals outweighing others? A little more color would be great.
Mike Praeger: Yes, that would be great, Darren. Good questions. So, certainly, so to kind of start with the question of kind of pop up funnel activity that we're seeing. Certainly, the kind of conversion back to in-person has been a positive element for us. Historically, that's been a key component in supporting, kind of our digital top of funnel generation along with that of channel partners. And what we're seeing is, I was just at two of our partner conferences last week alone and attendance was up above 50% over last year. So, certainly there is an interest in finance leaders. CFO is getting back to how did they catch up or really leading into some of the automation initiatives that maybe they haven't invested in during COVID. The second thing we're seeing is really some nice activity across some of our channel partners. Again, during COVID, many of our channel partners were more focused on just maintaining customer relationships rather than selling new products and now they're getting back to how they grow their customer base. So, that's really being a positive element in terms of top of funnel activity. As it relates to kind of the performance of our – across our eight verticals, first of all, the beauty of our business today is that we're super diversified across eight different verticals, plus we have the horizontal slice that's driven by some of our channel partners. And what I would say is, we've – actually in the quarter, had four verticals that really probably outperformed our internal expectations being real estate, the HOA or Homeowner Association in [indiscernible] association management market, non-profits and then the horizontal market. And I made reference to two verticals that we're seeing some unevenness with being construction and financial services. However, I'd be careful there not to kind of equate it to maybe entirely driven by macro. Construction, for example, we have some internal strategies on how we're going to market related to the conversion of still a fairly large base of on-prem TimberScan customers and how we're moving them to our new titanium cloud-based offering for construction. And so, some of that unevenness is based on some of our internal go to market strategies and how we're converting that base and not making the paid network available to some of those on-premise customers as a catalyst for getting them to adopt. And then on financial services, we're also seeing some of you did across one of our channel partners that we rely on in terms of just not being as AvidXchange [me not] [ph] as directly involved in the sales processes we are in some of our other verticals. So, those are some of the commentary that I would say. All-in-all, the puts and takes. We're very pleased across all the verticals in terms of out unbalanced they're performing.
Darrin Peller: Okay. That's really helpful Mike. Joel, just a very quick follow-up on margins. Obviously, it's trending in the right direction and free to see the path to profitability playing out and then some actually, but maybe just give us a reminder on the levers that you're really seeing out the margin now? And then combined that with – it sort of seems like at this run rate, you could be profitable a lot earlier than 2024. So, I guess I'm curious any update there?
Joel Wilhite: Yes. Maybe I'll just hit that in the two parts. Again, the levers be in the first part and the path to profitability be in the second part. So, from a levers standpoint, we've talked about our path to profitability as being obviously the gross margin improvement is a really core part of that in addition to scale and operating expense and we've talked about that gross margin progression being essentially made up of roughly two-thirds expansion of yield and roughly a third of just steady consistent operating unit cost improvement. And that can sort of be zigzag across the quarters depending on various circumstances, but that's basically the way we see those gross margins expanding. And then from the second part of your question, again, what we're – we’re not giving guidance now, but certainly we'll do so for 2023 in the March timeframe. So, we're sticking with and we still see that profitability point for us in the full-year 2024. And again, I’d just remind you that we're focused on really being super disciplined. We've talked about efficient growth being the focus of the team across the company and making sure that we're continuing to invest in growth. And so, we do have – we're expecting to continue to invest around the flywheel products for buyers and suppliers into our platform while seeing that steady progression of gross profit. So, we do see profitability around the corner, Darrin, and we'll update you guys when we give guidance in March.
Darrin Peller: Great.
Mike Praeger: Darrin, just maybe – just a kind of a reminder too, Joel, the good job of taking about two-thirds of that expansion yield in terms of driving gross margins from expansion yield, and one of the biggest levers there remember is this large base of paper check suppliers that we have. and that conversion continue to expand conversion from paper check to electronic. Those are really good things for us in terms of taking costs out of the spectrum, as well as increasing revenues related to those transactions and the faster we add new buyer customers, it adds a bigger backlog to that paper check supplier base.
Darrin Peller: Understood. Thanks again, guys.
Operator: Our next question will come from Josh Beck with KeyBanc. You may now go ahead.
Josh Beck: Thanks guys for taking the question, I want to drill down a little bit around the political revenues. So, certainly, I think we have a really good sense of how that trended in the first half and what it looks like in Q3. I guess my question is like moving forward, would the calendar Q4 generally be the strongest? Obviously, that's what a lot of the actual election activity is. So, that's kind of part one. And then part two is just thinking about next year. Is that something that really drops off where there is – it's more of a maintenance spend, just any further color on just how to think about that political piece would be great?
Joel Wilhite: Yes, great question, Josh. Let me just kind of provide a couple of data points and perspectives and then Mike maybe just talk generally about that business. But we're just – we just lapped our first year, kind of FastPay, kind of a pleased to have just to increase the diversity of our verticals across the middle market and so pleased with that business. Of course, a subset of that. Overall media business is political. And I think what we've – year to date, I think, again, just we'll, sort of sunset talking about FastPay separately as we lap the organic. We lapped the anniversary, but year to date, we've generated about $13.5 million of total media revenue associated with that acquisition and about 8 million of that's non-political. And so, we've talked about the inclusion of roughly 2.5 million, 2.6 million of political in the third quarter.  We've said before that even though the election is November, there is kind of a meaningful build of that revenue through the year. It is pretty tough to predict and so for a guidance standpoint we’re being cautious. It's tough to predict what that Q4 could be. It could move depending on the way the election cycle plays out, runoffs than otherwise. And so that's about as specific as I get from a guidance standpoint. To answer your question a little bit about how should we think about 2023? We've talked about that not being a presidential or mid-term cycle and maybe just to give it some color to that [$2.6 million] [ph] that we mentioned, we generated political revenue in Q3. The comparable number the prior year was around 700,000. And so, kind of meaningfully different and that should give you a little bit of color about how to think about 2023. Mike, anything you'd add?
Mike Praeger: Yes. And I would say that overall the media vertical for us is fairly diversified. So, the majority of the customers and the spend is from, kind of corporate media. And on the political side, we're actually almost split 50/50 down the fairway between those customers to support the Republicans versus the Democrats. And the thing that's been interesting actually for me to seeing is a lot of the spend is actually driven by the issues, not even more so than the candidate, political spending. And so, the issues is one of the biggest drivers related to that category for us.
Josh Beck: Really helpful. And then I think the question that you've addressed and we're getting a lot is, is certainly with respect to the macro and the vertical commentary and certainly your ability to help fight inflation is super helpful, but I'm also kind of curious like what signals or maybe macro indicators are you watching? Obviously, there's lots of B2C oriented payments companies. It's pretty obvious. And B2B, it's a little bit trickier I think for investors to track. So, maybe from the prior recession or just macro indicators you found helpful would be great?
Mike Praeger: Yes. Certainly, what we've been talking about in terms of on the buyer side, it's top of funnel activity. And the continued adoption of the overall market that's still managing paper invoices and paper checks in that conversion. So, it kind of starts there. And then the second thing that we're being in the payments business, which is a little bit different than what we've seen in kind of the last economic downturns where we didn't have as big of a payments business as we do today. We're paying close attention to say average payment sizes and overall kind of payment volumes. And today, those remain pretty healthy for us across the B2B spectrum.  One of the biggest areas that we're also paying close attention to is on the supplier side, is whether a more kind of challenging macro environment actually ends up being a bigger catalyst for us in those suppliers moving from paper check to electronic. Today with a paper check transaction, on average, it's taking the supplier 7 to 10 days to get kind of fully paid and settled when the U.S. Postal Services and making that any faster. And moving to electronics certainly provides them a significant advance in terms of their cash flow. And so, although we don't have – we've not forecasted really into any of our models, we are cautiously watching whether that's a positive impact for us in the current environment.
Josh Beck: Super helpful. Thanks, guys.
Operator: Our next question will come from Brad Sills with Bank of America. You may now go ahead.
Brad Sills: Oh! great. Thanks guys for taking my question. Wanted to ask about TPV, lots of puts and takes with the macro backdrop right now you've got on one hand inflation, which could be a tailwind and then on the other hand we're heading into a recession and seeing some choppiness across different verticals and industries. You talked about some changes by vertical. If you could just kind of help us understand more kind of the puts and takes as to what you're seeing with regard to spend volume on a per customer basis? How that's trending and any color on different verticals?
Joel Wilhite: Yes. Thanks, Brad. I'll take a shot and Mike may add some context as well. Again, just stepping back, we were pleased with the results in the quarter. We – top and bottom line beat, but also beats on sort of the core fundamental health of the business total transactions TPV. On the macro, like we've said, we haven't seen a meaningful impact on adverse macro environment. We're cautious and optimistic as we move through that. And we've also seen lots of puts and takes across the verticals. But I would say that the mix of those puts and takes is no different this quarter than we've seen in past quarters and sort of steady as she goes. So, I don't know, Mike, if you want to add anything to that?
Mike Praeger: Yes. Maybe in my last commentary, I kind of focused on some of the verticals and one of maybe, one other aspect of it is in our horizontal business that was another area that we saw some outperformance based on our internal expectations in the quarter and really driven by some of our bigger channel partners like the NetSuite, Acumatica’s of the world and others. And I think we're seeing lots of overall demand on the horizontal side. The NetSuite User Conference that was recently in Las Vegas was a very well attended conference. And we did announce our cross-border offering at that conference for specifically for NetSuite that's highly integrated into the NetSuite payment process. And our expectation is that, that will continue to drive some nice performance in terms of new buyer customer adoption on the horizontal side of the market as well in addition to the commentary I made previously on the various puts and takes on the vertical markets that we're in.
Brad Sills: Wonderful. Thank you. And then one more if I may please, just on the cross-border offering, are there any verticals where you see a near-term opportunity? Have you taken a look at your, kind of transaction volumes to, kind parse through where you see the opportunity for that? Are there certain verticals where there's just a heavier volume of international payments? Where do you see the initial success? And any color on just pricing for cross-border and what that might bring into the model in terms of monetization? Thank you.
Mike Praeger: Yes. So, good question. Am as, probably anxious as you are Brad in terms of where the impact is going to be. As we kind of talked about historically, we don't have a big demand for cross-border within the existing verticals that we're in today to the fact that they're very geographically centered type verticals. However, where we're seeing, kind of the initial interest i.e. just in the last 30 days or so is in the horizontal market. And specifically, probably opportunities that we would have historically have opted out of because we weren't a good fit for those type of customers. And so, playing in those type of opportunities in the horizontal market within say NetSuite and some of our other horizontal accounting systems that we're deeply integrated with is going to be, kind of that opportunity. We also think it's going to over time lend itself to us developing new vertical markets that incorporate cross-border type opportunities as part of that. And we have specifically perhaps the intersection of combining what we've previously released in the last couple of quarters related to our next generation purchase order and procurement related tools combined with cross border provides us for a nice solution. For example, potentially in the manufacturing vertical and some of those other verticals where there may be purchase order procurements centric combined with having an international supplier base. So, those are some of the things that we're taking a look at and it's going to be interesting to see where some of those, kind of natural customer adds come from, but we expect certainly it's probably going to be driven by the horizontal market first, and then followed up by perhaps pursuing new vertical markets based on our customer trends that we're seeing.
Brad Sills : Thanks Mike. Thanks Joel.
Joel Wilhite: Thank you.
Mike Praeger : Thanks Brad.
Operator: Our next question will come from Andrew Bauch, SMBC Nikko Securities. You may now go ahead.
Andrew Bauch: Hey, good morning guys and thanks for taking the question. Just wanted to visit the comments you made Mike on the Blackbaud relationship, you know they said, we think you said 6,000 customers currently on the accounting system and an opportunity to really penetrate that base. Give us a sense on what's addressable there from a buyer customer perspective. It could be a pretty big opportunity in the context of the 8,000 buyer customers you had at the end of 2021?
Mike Praeger: Yes. I mean, first of all, I agree with you. And this is another good exam both kind of our playbook in terms of that vertical market focus and going very deep within the verticals. And one of the biggest components of being in a vertical market is being deeply integrated to the core accounting systems that support that vertical. So, Blackbaud is a great example of that. And having the next generation what we call, kind of built inside integration with a partner like Blackbaud gives us a nice avenue to pursue that 6,000 customers. I think our team is, obviously we're still in the kind of the early days of ramping and going to market within that partnership, but I think it's very similar to some of the other verticals that we've seen with partners with similar customer sizes. At the end of the day, we're still subject to the adoption rates that we're seeing across the overall industry and continue to build on the value proposition, but having a deeply integrated AP Automation payment experience with Blackbaud, certainly provides a great customer experience. And so, we do believe that will be a lever in terms of increasing that adoption rate within the non-profit vertical for those customers that are using Blackbaud. So, I would say more to come and we'll certainly, kind of keep you updated, but I know the team and myself are really excited about what that opportunity presents long-term for us.
Andrew Bauch: Got it. Thanks for the color there. And then would it be a proper earnings call if we didn't discuss invoice accelerator? Any update there? I know that you talked about accelerated 2.0 last quarter. So, anything you can provide on that front on where that's going would be great? 
Mike Praeger: Yes. No, I'm glad you're as passionate about Invoice Accelerator as I am. And so, what I would say is that, one of the things that we have launched over the last quarter is the development of Invoice Accelerator 2.0. And so, I think our main focus is on development of that product and being in the market later next year with it. And so, what I would say is, probably the focus is going to be more on the getting Invoice Accelerator 2.0 in the market and then the launch of it in the market versus maximizing the opportunity on a 1.0 platform in the near-term. However, we do and see consistent growing demand for the offerings, certainly the macro backdrop we think is a natural catalyst for more suppliers that want to take advantage of it. Just to remind people in the – with our current 1.0 offering, we've really only made it available to a very small subset of suppliers while we get the learnings for both the qualification of invoices that are eligible to be advanced, as well as all the business rules related to managing the offering and the recapture of the payment. And in the 2.0 offering, it will be made available to all our suppliers and we believe that roughly 50% to 60% of our overall supplier pool of 825,000 plus suppliers fall into the, kind of the small business category, which is really the category that Invoice Accelerator 2.0 is designed to serve. And so, I'd say we remain really excited about that offering and anxious to be in the market with it next year.
Andrew Bauch: And just a quick follow-up, that 50% to 60% that's relative to, I think you said in the past 40% addressable within the 1.0 offering?
Mike Praeger: Much less than that. We've made the 1.0 offering available to less than 10% of those suppliers.
Andrew Bauch: Okay, got it. Thanks, Mike
Operator: Our next question comes from Ramsey El-Assal of Barclays. You may now go ahead.
Ramsey El-Assal: Hi. Thanks for squeezing me in here. I just had one question for you. I was wondering if you can give us an update on the M&A pipeline and also just comment on the degree to which you got all these great new products out there now cross-border, Invoice Accelerator STP, is there a way now that you have those products out in market to kind of accelerate their adoption via M&A? Seems like there might be some interesting, kind of tuck-ins that would help the progress on [traction] [ph]?
Mike Praeger: Yes, Ramsey, good question. So, what I would say is that our playbook related to M&A continues to be very focused on how we accelerate vertical market expansion versus product expansion. I think we feel very confident and good about our product portfolio and the innovation progress that we're making, and sometimes on the product side related acquisition that actually can slow you down versus accelerate as you try to, kind of integrate products and things like that. So, we believe as the industry leader in the middle market, and having our products purpose built for the middle market, there's actually not a lot of opportunity for product related type of expansion through M&A. We believe that in our playbook to stay consistent, kind of using it for vertical expansion and we love the profile smaller software companies that are making headways in a particular vertical that we're not in that understand the nuances and the domain knowledge of that vertical market and also have some of the integration experience with the leading accounting systems that may serve that vertical. And they have not yet pursued adding a payment capability. And so, those – that's the playbook for us that we remain focused on. However, I would say that the current environment, we've not seen some of the valuation corrections felt through the private markets. It's taken probably longer than we've expected for that to occur. And so, we remain fairly optimistic about kind of the future of M&A as we go forward and maintain a really healthy balance sheet and really [indiscernible] to position ourselves in a really good way for when those opportunities rise.
Ramsey El-Assal: Interesting. Thank you so much. Appreciate it.
Mike Praeger: Yes.
Operator: Our next question will come from James Faucette with Morgan Stanley. You may now go ahead.
James Faucette: Hey, good morning. Thanks, everybody. Just a couple of quick questions from me. I mean, obviously, everybody seems very excited and rightfully so around the improving profitability and moving into that profitability and what that roadmap looks like, but how are you thinking about kind of balancing that rate of profitability improvement with growth and the levers that you may need pull or push one way or another there?
Mike Praeger : Yes. As I think that equation related to, kind of growth investment versus profitability. And I think the way we look at it is, we kind of define it as efficient growth. We don't believe that our, kind of accelerated path to profitability is impacting growth. We still believe that's a really important, kind of component for us to take advantage of, kind of the market adoption. And I think the biggest reflection on our growth there is just the rate of overall market adoption. And as that rate increases in the future, we expect our growth rates to continue – did increase as well. And probably the biggest thing that we can do is continue to build the value proposition consistent with how we have been building it. And so, that'd be kind of my commentary related to that growth and certainly focused on internally maybe more of, kind of a Rule 40 type concept in terms of how we're balancing those two equations.
James Faucette: That's great. Encouraging to here. And then I guess tied to that, can you just give a quick update on what you're seeing competitively in the market? How much you may be running into other players or is everybody staying pretty well in their consistent line or lanes? And what do you think the key determinants are for wins right now for AvidXchange?
Mike Praeger : Yes. So, on the competitive side, so first of all, I'll take the swim lanes first. We have not seen any changes related to the swim lanes. We're within our core middle market, we don't see Bill.com as an example within the middle market, certainly within the verticals and the horizontal focus that we have. In the same sense, we don't see people like Coupa and others in our core deals either. Maybe around, kind of the core edges literally less than 20 deals a year we may see those type of competitors. So, our Number 1 competitor continues to be the status quo paper based process. 95% plus of all our new customer adds, our customers that are doing this for the first time moving from paper invoices and paper checks to electronic. And so, that continues to be our Number 1 loss reason continues to be that the customer is not ready yet. They're asking us to come back in six months, come back in nine months to talk to them about it. As it relates to other competitive companies, third-party companies. I would say one of the interesting dynamics is, we probably have less competition today than we had a couple of years ago and M&A has been a part of that. So, for example, we used to see [indiscernible] [trade] [ph] historically in past years and maybe 10% of our opportunities. And they've really disappeared from our core market and really haven't run into them at all in 2022. So that would be kind of one example. And then the barriers to entry just continue to increase. The challenges begun with getting license as regulated money transmitter. The bar continues to increase not only in terms of the cost to get licensed, the timing, but also some of the tangible net worth requirements of some the [states out] [ph] just makes it prohibited for startup companies to pursue that path. And so, we've really seen probably a fairly stable, kind of competitive landscape. And the number one competitor that we remained laser focused on competing with every day is the status quo process and how do we continue to build the value proposition to entice these controllers and CFOs to move to an electronic process sooner than later.
James Faucette: That's great to hear. Thanks a lot.
Mike Praeger: Yes.
Operator: Our next question will come from Brent Bracelin with Piper Sandler. You may now go ahead.
Brent Bracelin: Thank you. Good morning. Mike, building on, kind of the topic of, let's say, [competition] [ph], obviously, we've seen, kind of the ERP vendors offer their own, kind of modules over the last decade, you obviously have a best of breed module, specifically to NetSuite, which just came out with an AP Automation Suite. At the NetSuite world. You obviously are adding more functionality and embedding functionality in NetSuite. Could you, kind of remind us about that relationship? Is it a strong relationship? Is it kind of normal competition? Just walk us through changes if there has been any with that relationship and then a new product that came out with? Thanks.
Mike Praeger: Yes. What you're hitting at is within NetSuite in particular and this is a good example where I think, how we kind of partner closely with our leading and biggest channel partners? And so, one of the things that NetSuite has done recently is, they kind of paired back the number of participants in their kind of core partner deep integration ecosystem. Now, it's only a handful of players of which we're the leading. We're the largest AP automation partner that they have with the biggest installed base that's with customers. And what we're kind of seeing as part of not only NetSuite, but others is, yes, the be competitive ERP systems do have a baseline level of functionality in their kind of AP module, but at the same time that only addresses a small subset and particularly with their NetSuite's new offering. It's really designed, what I would say is, more kind of the small business side of the NetSuite customer base where they don't have business rules related two of their approvals. It's kind of a one-step approval process, very simplistic type of AP management. And then for those companies that have more sophisticated business rules, which is where we're cater to, we have very deep relationship with NetSuite sales team. They bring us into those opportunities as really an embedded partner to solve those customer problems. So, I would say, one of the benefits actually that the NetSuite announcement has made, it's actually helping to increase the overall education and knowledge base around the benefits of AP and payment automation. So, we're seeing an uptick of NetSuite customers now that are evaluating solutions – a solution for this business problem for the first time. And then they're saying, okay, now that I'm more educated about it, what is the best solution for me? And so, we're clearly positioned for those customers that have a more complex business process around multiple general edgers, more complicated coding, more dynamic approval workflows is our bread and butter versus more of a simplistic small business customer, which would be probably appropriate for the NetSuite offering.
Brent Bracelin : Perfect, very helpful color there. I was getting some questions on that and it's very clear that the differences. Joel, my follow-up here for you is just around just the transactional unit volumes. Growth there did moderate from I think 13% to just below 12% growth this quarter here. Obviously, completely understandable well given the macro, do you think that could stabilize in this 11% range this quarter based on the trends you see so far? Is there risk that starts to moderate a little bit closer to 10%? I know it's a specific question, but love to get any color around transactional unit trends that you're seeing here in Q4 relative to – just a slight downtick you saw in Q3?
Joel Wilhite: Yes, you bet. Great question and happy to address it. Again, I'll start, kind of broad and then get right to your question. I mean broadly again, really kind of proud of the performance we turned in for the quarter. Good TPV growth better than our expectations. Good transaction growth better than our expectations. And we feel like the – we're sort of pleased with where we are from a progression standpoint. And again, remembering the growth algorithm expansion of our underlying buyer customers, adding new logos, new buyers and then expanding that transaction yield as we go. We think those things – we do see those things working together that give us confidence in-light of specialty opportunity that we see ahead of us for that kind of 20% organic growth on average over time. I think just with respect to the quarter, you're right. I mean, I think about 100 basis points different than last quarter. So, 12 and 13 range. I do think it's reasonable to – we sort of think it's reasonable that we're in the zip code that it would, sort of kind of stay in.  I think we mentioned last quarter and I'd repeat this quarter that we did, it's an interesting base comparison given 2021 being a bit of the COVID recovery. And so, there's some noise overall in quarter-to-quarter, but nothing other than that. So, we feel good about the growth of the – and the health of the network and the volume.
Brent Bracelin: Okay, great. That's all I had. Thank you so much.
Operator: Our next question will come from Timothy Chiodo with Credit Suisse. You may now go ahead.
Timothy Chiodo: Great. Thanks a lot. I'll try and keep these on the quicker side since we're a little bit over here, but on the supplier network, the last update was a 2021 number, I believe, at about 825,000 or deep into 2022, I was hoping you could maybe just give us a sense of where that number stands today given it's an important part of your network effect and competitive advantage? And then as a brief follow-up, I know you mentioned that the construction vertical and financial services are the ones that you're kind of monitoring, but everything is going well still. I'm sure we'll get this question from investors. If you could just recap what the portion of either volumes or revenue or gross profit is of those two verticals specifically? I'm sure that would be much appreciated.
Joel Wilhite: Thanks, Tim. I'll jump in real quick and then Mike can add some context. So, we kind of established a routine when we went public last year of kind of updating our buyer and supplier accounts on an annual basis and we'll certainly do so again this year and address that obviously and talk about it in the year-end call, but kind of happy with the overall growth across the business. Mike, anything you’d add?
Mike Praeger: Yes. What I would say is that supplier component is really the secret sauce of AvidXchange and the reason that provides us the competitive advantage in the marketplace is our ability to monetize the supplier side. And so, as Joel said, we're pleased with that growth and we certainly are looking forward to updating those numbers in March. As it relates to, I think your second half of your question related to, kind of across our eight verticals as they’re kind of waiting across some of those verticals, I would say that overall it's extremely diversified across our eight verticals plus the horizontal part of the market and the horizontal is actually one piece that's exceeding our expectations as well. But within those, probably again our most mature and some of our largest verticals are the real estate HOA components of it, just because those were our first verticals that we entered into. So, we have really nice customer base and growing nicely within those verticals, as well as just overall deep market presence. Construction and financial services are two of our newer verticals that we got into through acquisitions being construction with core associates and financial services with the BankTEL acquisition. So, to me that's a little bit of flavor there. But I'd say, overall, we don't have any outsides waiting on one particular vertical or the other. And it's – we have a nice diversification. And then the horizontals actually adding another component of that diversification in the growth that we're seeing there.
Timothy Chiodo: Excellent. Mike and Joel, I think that context really helps, especially around the reminder on the [indiscernible]. I'm sure people will appreciate that and no sweat on the 825 number. We will wait for March, but agree that is part of the secret sauce. Thanks for taking the question.
Mike Praeger: Thanks, Tim.
Operator: Our next question will come from Tien-Tsin Huang with JPMorgan. You may now go ahead. 
Tien-Tsin Huang: Thanks. You've covered all the ground already, I know. So, just a clarification, has the operating expense outlook changed in any way since last quarter, I know the gross margin performance is better, including the flow – as you discussed, but just want to clarify on the OpEx. Thanks.
Mike Praeger : Yes, good question, Tien-Tsin. And one thing that I haven't had a chance to mention is again from an operating expense standpoint, nothing significant apart from what I would say here. One, overall general operating discipline that we're applying in the business, balancing growth and our path to profitability. Specifically, the sequential step-up in operating expense in the third quarter over the second quarter. The lion's share of that sequential growth is associated with our bonus accruals that we alluded to when we gave guidance last quarter that would be a little bit higher in the back half of this year as we are, sort of exceeding our, kind of internal incentive targets. And apart from that, we just – we're seeing ahead of us and around the corner of really getting that operating expense leverage together with the gross margin expansion that takes us to the profitable business that we see ahead of us.
Tien-Tsin Huang : All right. Good to know. Thank you.
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over to Mr. Praeger for any closing remarks.
Mike Praeger: Great. Well, first of all, I want to thank everyone for their time today. As you can see, we're really passionate about helping our middle market customers every day and excited about our year to date results. We look forward to talking to you in the New Year. And with that, operator, you can close the call.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.